Operator: Good afternoon. My name is Sharon and I will be your conference operator today. At this time, I would like to welcome everyone to the Aphria Inc. Q4 Quarterly Investors Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session for analyst and/or investor firms only. [Operator Instructions] Thank you. Ms. Katie Turner you may begin your conference.
Katie Turner: Thank you, Sharon. Good afternoon, everyone. We appreciate you joining us to discuss Aphria's financial results for the fourth quarter and fiscal year ended May 31, 2019. On today's call are Irwin Simon, Aphria's Chairman and Interim CEO and Carl Merton, Chief Financial Officer. By now everyone should have access to the earnings release, financial statements and MD&A, which are available on the investor's section of Aphria's website at www.aphria.ca. These statements have also been filed on SEDAR and EDGAR. Before we begin, please remember that during the course of this call, management may make forward-looking statements. These statements are based on management's current expectations and beliefs and involve various known and unknown risks and uncertainties, which may prove to be incorrect and actual results could differ materially from those described in these forward-looking statements. Please refer to the text in Aphria's earnings press release and financial filings issued today for a discussion of the risks and uncertainties associated with such forward-looking statements. I'd now like to turn the call over to Irwin Simon.
Irwin Simon: Thank you, Katie. Good afternoon, everyone. We appreciate you joining us today to discuss our fourth quarter and fiscal year 2019 results. It has been a very productive quarter and six months with tremendous change that happened. The leadership team we have in place is solid. There is no management void at Aphria. As Chairman and CEO, I am leading the company forward with our team every day. There is no emphasis on interim by me or my team. It is about the initiatives and strategic growth plans that we have established in the last six months to move the company forward for sustainable growth today and over the long-term. During our Q3 earnings call, I noted that in order to help us extend Aphria's vision to be the best performing cannabis company globally, providing investors with access to one of the most accretive cannabis opportunities around the world that we began working with a leading consulting firm to work with our leadership team to prepare an internal 90-day plan, prioritizing our long-term strategic objectives and build an execution roadmap. The plan is to be used by our senior leadership team to assess the opportunities in the market, prioritize our initiatives and ensure we are investing in strategies most likely to have immediate impact on our business and profitability that will prepare us for growth over the next several years. In Q4, as you've seen, we've already started to implement many of those outcomes from the 90-day plan, which help us narrow our focus on the highest returns and the priorities for growth. The Aphria of today is not the Aphria of yesterday and wouldn't be the Aphria of tomorrow. We strive to be better at all that we do, so that we can further our industry-leading position. We are focused on the further development of our medical and adult-use cannabis brands and how we can increasingly connect with consumers to drive growth through innovation and return value to you, our shareholders. I'm extremely proud of our more than 1,000 team members worldwide and their ability to embrace change as we rally behind our mission to be a premier global cannabis company with our medical and adult-use cannabis brands and unrelenting commitment to our people, the planet, product quality and of course innovation. In what was a challenging time for us, our team came together as an organization. We identified immediate priorities to help generate substantial progress near-term. We built upon existing business fundamentals, capabilities, streamlined our processes and strengthened our governance and focused on building our brand awareness all with an emphasis on consistent execution. Those efforts enabled us to achieve a positive outcome in the fourth quarter, which you're seeing today. Net revenue increased 75%, adult-use net revenue increased 158% as compared to the third quarter with positive profitability for both earnings and adjusted EBITDA. We accomplished a significant amount, made significant strides in financial and operational opportunities. Other key highlights included the completion of a 5.25% convertible senior note offering of net proceeds of over $335 million. The settlement with Green Growth Brands in regards to their takeover bid, resulted in $50 million of cash already received an additional $39 million to be received in November. And now that they've raised their funds necessary to make the payment, we look forward to receiving that in November. We ended the year with a much stronger balance sheet and liquidity position including $571 million of cash and liquid marketable securities to support our planned Canadian and international growth, leaving us with $610 million in cash pro forma with the receipt of the Green Growth Brands payment. As the cannabis industry continuously evolves globally at Aphria, we're also evolving at a rapid pace to ensure we stay ahead by leveraging our core capabilities. Importantly, we restructured the leaning-in organization with a stronger focus on quality, employee safety, cost reduction, and accountability. For example, we reorganized our growing process and operations in order to provide improved quality, higher yields and a lower cost. This includes the installation of packaging automation that has increased our production. We have been able to leverage our volume, spend, our moneys to reduce our packaging material and while producing the highest premium products. We planted more than 200,000 plants in the new expanded area of Aphria One. And as of this week, the facility is fully planted with over 500,000 plants. We have been harvesting out of the expanded automated area. At Aphria Diamond, our 100-acre second campus featuring 1.3 million square feet of premier greenhouse production is fully constructed and ready to be operational pending Health Canada licensing approval, which we hope to get soon. This will expand our total annual domestic production capacity in Canada to 255,000 kilos when all our facilities are fully licensed. These facilities are truly the state of the art for the industry, and we believe it will increasingly set us apart from our competition. We are eagerly anticipating Aphria Diamond's license and we remain in an ongoing dialogue with Health Canada. As many of you many know, Health Canada has a number of facilities to review and prioritized outdoor grow to allow for plantings this calendar year. We look forward to announcing Aphria Diamond's license receipt at a future date. In addition, we are confident we will obtain our EU-GMP certification for bulk and finished product in the first half of this fiscal year, enabling us to export product to meet the demands of the European and South American market. Today, Aphria has a presence in more than 10 countries across five continents with five high-quality brands including Solei, RIFF, Good Supply, Broken Coast and Aphria our medical brand. We are exploring opportunities to expand our capacity for our premium brand Broken Coast, which is one of the most in-demand consumer cannabis brands. We believe the quality of our brands remains unmatched in the industry including products for both medical and adult use. These brands were developed to address distinct segments of the Canadian cannabis markets. We put consumers' needs at the forefront of our strategy. As regulations change, we will proactively evolve our portfolio of brands and products. To this point in Canada, we are excited to bring our premium cannabis extracts from Solei, RIFF, our flagship medical cannabis brand Aphria to the PAX Era device and platform. We believe the expected legalization of vapes and concentrates will mark a significant turning point in the Canadian market, providing more choices, new experiences while opening the door to a range of new consumers. We believe vapes and concentrates will represent close to 30% of the entire Canadian adult-use market by 2021. Our strategic alliance with PAX sets the stage for a broad portfolio of vapes and concentrate products to come. The collaboration complements our growing roster of strategic innovational partners, including Manna Molecular Sciences Rapid Dose Therapeutics. As we pursue new-technology delivery systems, we will change the way patients and consumers interact with cannabis in the future. Our Extraction Centre of Excellence, which Carl will speak to in more detail, was created to facilitate Aphria's leadership in the evolution of cannabis as an ingredient to help us create our own brand products with these cannabis ingredients. We believe our Canadian business will be a significant contributor to our results over the next several years with the potential for us to create one of the largest production footprints in the cannabis industry. We look forward to addressing the industry-wide supply constraints with our expanded production capacity, sophisticated proprietary automation technology that can help ensure Aphria remains at the forefront of the cannabis cultivation innovation. Internationally, we are very pleased to have been granted the maximum number of lots within the German tender process a total of five and Aphria is the only licensed producer in Germany with the permission to grow all three strains of medical cannabis approved by the German authority. In addition, we introduced a CBD-based nutraceutical product line in the German market. We believe we have an opportunity for significant growth in Germany by selling these products through our subsidiary CC Pharma, which has access to more than 13,000 pharmacies through Germany. We look forward to providing a full range of CBD products this calendar year. In Latin America, we generated approximately $4.1 million of sales since our LATAM acquisition. In Colombia, we have taken steps to modify our plans to ensure we are in the best possible position to provide long-term shareholder value. With more than 650 million people in LatAm, we believe there is an incredible opportunity there. We are moving ahead with commitments to build a greenhouse.  We're making significant progress building our GMP cultivation process facilities which soon will enable us to play a leading role in that local market as well as developing a low-cost export opportunity across the Latin America region. We are also committed to supporting and enabling the medical community through our exclusive partnership with the Colombia Medical Federation, a highly respected organization with direct access to over 70,000 doctors and medical professionals. And just this week our subsidiary Marigold Projects Jamaica Limited received a retail Herb House license from Jamaica's Cannabis Licensing Authority to open up its first store: Sensi Medical Cannabis House overlooking the Peter Tosh Museum in New Kingston. It will feature a smoking lounge for onsite consumption as well as high-end accessories for sale. The Sensi Medical Cannabis House will sell Marigold proprietary strains of cannabis and the Sensi Gold brand. We believe there is tremendous opportunity in LatAm and the Caribbean from a domestic and an international perspective and look forward to bringing these products to market. In the U.S., we are focused on building strategic partnerships and alliances for growth which emphasize on the U.S. CBD market until medical cannabis is fully legalized. We believe, Aphria can generate strong growth in the U.S. over time. Let me be clear, we're always looking for opportunities in the U.S., but it needs to be that right opportunity one that will create real and long-term value for our shareholders. If we look to the future Aphria will be the consumer packaged goods company with plenty of options in the U.S. market. From a time perspective, we have enhanced the breadth and depth of our leadership. I've said it before, the team here is incredible. We enhanced the executive team with appointments of several key positions in operations, IT and human resources. To help our team consistently execute on our initiatives and deliver results, we're preparing to roll out a new enterprise resource planning technology platform to enable better real time, which will give us data that will be able to allow us to make real-time decisions. We're also adopting a pharmaceutical-quality management program that will further enhance our existing strict quality management processes. The team at Aphria is energized and excited to drive growth and profitability for many, many years to come. We believe Aphria is increasingly well-positioned with the right team global infrastructure, strategic initiatives, production capacity and the capital to support our growth in Fiscal 2020 and well into the future. Together, we have created the entrepreneurial culture grounded in accountability that we have today. We have aligned key leaders and their compensation for Fiscal 2020 around our key priorities. We are all working together towards our corporate objective of generating $1 billion in annualized cannabis revenue by the end of Calendar Year 2020. And with that margins should substantially improve to fuel our profitability and cash flow. Across our organization, we have taken decisive steps to help fuel our strategic initiatives in Canada and internationally and generate long-term shareholder value. We believe the opportunities for long-term value creation are very strong in both Canada and international. We believe we have great momentum in Latin America including Colombia Argentina, Paraguay, Jamaica as well as Germany and across our international markets as we continue to strengthen our global footprint. At Aphria, we will continue to drive sustainable long-term shareholder value by leveraging our strong brand positioning, superior distribution model, product innovation, industrial-scale cultivation and automation, medical use leadership and last but not least a strategic global platform. We have said a lot. We have done a lot. And we've got a lot more to do. Now I'll turn it over to Carl to take you through the numbers. Thank you.
Carl Merton: Thank you, Irwin, and good afternoon. Please note all financial references are in Canadian dollars unless I mention otherwise. As Irwin discussed, in the fourth quarter we had a relentless focus on the growth initiatives that could generate meaningful near-term results and prioritize profitability as we continue to position our business for long-term growth and success. We believe the steps we have taken position us to generate long-term shareholder value with a strong team focused on consistent execution, full accountability and best-in-class corporate governance. Focusing on our capacity, once fully licensed, our annualized capacity will be 255,000 kilograms and we remain on track to reach CAD 0.5 billion annualized in Canadian cannabis sales once we are in full crop rotation at all facilities and CAD one billion on an annualized basis by the end of Calendar Year 2020. This excludes our new Extraction Centre of Excellence, which is being constructed as an integral part of our Leamington production facilities combining science and innovation to develop the future of the cannabis industry. The Extraction Centre of Excellence will be physically located on the same property as Aphria Diamond and requires Health Canada approval of Aphria Diamond before submitting a license amendment application. As a result of the open license application, we have taken steps at our licensed facilities to supplement our extraction capability. These steps ensure that sufficient capacity exists to process all of our extraction needs regardless of when the license for the Extraction Centre is received. Once received, the company will be in a position to increase the amount of biomass it processes for either internal or external needs. At Aphria, we have the greenhouse space, the cultivation expertise, the automation technology and the raw materials to position us for success. And as we gain scale, we will gain efficiencies through our team's focus on product innovation, brand growth and further building our international distribution for our medical and adult-use cannabis. Moving to our financial results. We are pleased with the momentum we have in key areas of our business as we move into fiscal 2020. Net revenue in Q4 increased 969% over the prior year period to CAD 128.6 million. This represents the highest-ever quarterly sales for Aphria. Compared to Q3, net revenue increased 75%. The company sold 5,574 kilogram equivalents of cannabis in Q4, up 111% compared to 2,637 kilograms equivalent sold in Q3. Adult-use cannabis accounted for 3,228 kilogram equivalents and medical cannabis accounted for 1,417 kilogram equivalents. Adult-use net revenue increased an impressive 158% sequentially from the third quarter of 2019. The average selling price of adult-use cannabis before excise tax increased to CAD 5.73 per gram in Q4 compared to CAD 5.14 per gram in Q3 due to a more evenly distributed brand mix. The average selling price of medical cannabis before excise tax decreased to CAD 7.66 per gram in Q4 compared to CAD 8.03 in Q3, primarily related to a higher percentage of total medical sales coming from the Aphria brand. During the quarter, our cash cost per gram decreased from CAD 1.48 last quarter to CAD 1.35 as we focus on driving more profitable growth. Included in this figure is CAD 0.20 a gram related to the strategic decision to allocate flowering space to mothers to facilitate the ramp-up of our Part IV, Part V and Aphria Diamond expansions. We expect this temporary increase to continue until the Aphria Diamond expansion is fully planted. Our all-in cost per gram decreased from CAD 2.86 a gram to CAD 2.35 a gram. Adjusted cannabis gross profit increased to CAD 15.2 million in Q4 from CAD 7.6 million in Q3 more than doubling. Adjusted cannabis gross margin was 53% in Q4 compared to 49.5% in Q3. The increase was primarily due to the higher average selling price per gram. Adjusted distribution gross profit increased to CAD 12.3 million in Q4 from CAD 7.8 million in Q3. Adjusted distribution gross margin decreased to 12.4% in Q4 compared to 13.6% in Q3. SG&A costs in Q4 decreased to CAD 62.4 million compared to CAD 106.6 million in the prior quarter. Excluding the impairment for the LATAM acquisition last quarter, the increase in SG&A was primarily due to the inclusion of CC Pharma for the entire quarter one-time transaction costs of CAD 20.3 million associated with the completed convertible debenture financing, as well as trailing residual costs from the Special Committee and hostile bid. Our fourth quarter profitability with net income of CAD 15.8 million, or CAD 0.05 per share compares to a net loss of CAD 108.2 million, or a loss of CAD 0.43 per share in Q3. Our team quickly improved our profit performance to report positive earnings and EBITDA contribution for the quarter in a short period of time. We are particularly pleased with the CAD 15-plus million improvement in cannabis adjusted EBITDA for the quarter all as a result of strong sales and gross margin improvements. The consolidated adjusted EBITDA in the fourth quarter was also profitable at CAD 0.2 million based on adjusted EBITDA from cannabis operations of CAD 1.9 million, adjusted EBITDA from distribution operations of CAD 3.9 million, both partially offset by an adjusted EBITDA loss from businesses under development of CAD 5.5 million. The increase in adjusted EBITDA is primarily attributable to the increase in net revenue and higher gross profit. Moving to liquidity, we continue to have a solid cash position and a strong balance sheet to support our future growth and success. As of May 31, 2019 the company had near cash of CAD 571 million available for use. We believe this amount is sufficient to fund previously announced CapEx and strategic investments. In the fourth quarter, the company invested CAD 1.8 million on maintenance CapEx and CAD 42 million on growth CapEx. Importantly, we also reduced our investment in strategic initiatives as we focused on higher ROI investments. Turning to our outlook for fiscal 2020, we expect to report net revenue of approximately CAD 650 million to CAD 700 million with distribution revenue representing slightly more than half of the total net revenue. In addition, we expect to report adjusted EBITDA of approximately CAD 88 million to CAD 95 million. Applying our average selling price to our production capacity, we continue to expect annualized revenue of CAD 500 million in Canadian cannabis sales, once all our facilities are in full crop rotation, and two, annualized revenue of CAD 1 billion in Canadian cannabis sales by the end of calendar year 2020 both of which strengthen our position as a leading global cannabis company. In summary, we are pleased with the significant improvement of our financial results this quarter and the tremendous progress we have made to be a stronger more profitable company. We believe we are in the early innings of realizing the growth we are capable of achieving at Aphria. Going forward, we are confident in our ability to create long-term shareholder value. That concludes our formal remarks. Irwin and I are now available for your questions. Sharon back to you.
Operator: [Operator Instructions] Your first question comes from John Zamparo with CIBC.
John Zamparo: Thanks. Good afternoon. On the F-20 guide you provided a split on the distribution business for revenue. Is it fair to assume that on EBITDA that the margin for that distribution business holds where it is now?
Carl Merton: Yes.
Irwin Simon: And also, if there is some opportunity for upside as more and more of our medical cannabis is sold through the distribution business. But as Carl said right now, it is what it is. But one of the reasons in acquiring that was to expand our distribution and increase the margins to all those medical pharmacies across Germany.
John Zamparo: Okay. Thanks. Moving to a separate subject, some of your competitors have talked about lumpiness in terms of purchases with provincial wholesale buyers. Is that something you've seen? And are there any regions of strength that are worth calling out for Aphria?
Carl Merton: I think most companies go through somewhat of a lumpy ordering pattern during the month, and you've got to remember this is a brand new industry. They're learning purchasing patterns. We're learning shipment patterns. I just think that any lumpiness that exists is just a function of where we're at in the industry.
Irwin Simon: Again, it's not seasonality. There's not historical numbers. There is additional retail stores opening additional online products. So I think there's not a trend yet you can look at and say there's lumpiness out there. There could be lumpiness in July, and it could be stellar in August. So I think as we're just learning a lot more about the industry and shipments and consumer behavior, it's hard to track what is lumpy and what is a trend and what accelerated sales are.
John Zamparo: Understood. Maybe we could talk about the U.S. strategy. I understand you don't want to signal too much to your competitors, but is there any more color you can provide there? And is there a preference towards buying or building? And is this something you expect could be material by the end of this fiscal year?
Irwin Simon: Listen as I said in my script, I built a large consumer packaged goods business in the U.S. and I understand the U.S. market. I think there is challenges in regards to legalization. There is a challenge in regards what you can sell in products whether it's food, personal care products. We do have lots of plans for the U.S. and whether it's partnerships, acquisitions strategic alliances. And what is profitable and where there is growth accretion here is something that we'll do. So there's plans. There's nothing that I'm going to signal to you right now. But I think when we do go into the U.S. we will be ready to do the right thing for Aphria and its shareholders.
John Zamparo: Okay. Thanks. And last one for me. On the German license win from May, I just want to get a sense of how those operations scale and what kind of revenue or EBITDA generation you can expect from those assets over the next year or two.
Carl Merton: So the lot win in the next year really will start, sorry. The lot revenue will start in fiscal 2021 and will play out through that year. In the interim period, we believe we'll have the EU GMP facilities up and we'll be driving additional revenue through Germany as a result of those.
Irwin Simon: And that's all built into our 2020 forecast.
John Zamparo: Okay. Understood. That's it for me. Thank you.
Irwin Simon: Thank you.
Operator: The next question comes from Owen Bennett with Jefferies.
Owen Bennett: Good afternoon guys. And just the one question for me. So you mentioned exploring opportunity to expand capacity of Broken Coast. I was just wondering kind of how much additional capacity you would like to add there, because I'm conscious as well you've spoken in the past about the reason it can attract a premium is because sometimes in terms of scarcity value. So kind of is it a fine balance you're trying to reach there in terms of capacity and actually kind of keeping up scarcity value as well? Thank you.
Carl Merton: Thanks, Owen. I think that's the right way to say it. You've got a careful balance that you're trying to broker between a super premium product that has room and greater demand than exists in the overall market, while also trying to balance the value that it brings to the market because of scarcity. And so we continue to go through those internal discussions and we hope to have an announcement shortly on exactly how big any expansion there would be.
Irwin Simon : But we do know the demand is there from the consumer. We do know we need more capacity and there's lots of opportunities to go out there and build or do some other things to ensure that we have capacity to grow that brand, because that is a business that has just tremendous growth, tremendous margins and tremendous consumer awareness.
Owen Bennett: Okay. cool. Thank you very much. Appreciate it.
Irwin Simon : Thanks. Thank you.
Operator: The next question comes from Tamy Chen with BMO Capital Markets.
Tamy Chen: Thanks. Hi, Irwin. Hi, Carl.
Irwin Simon: Hi.
Tamy Chen: First question is I wanted…
Irwin Simon: Hey, Tamy we're having trouble hearing you.
Tamy Chen: Sorry. Can you hear me now?
Irwin Simon: I can hear you now.
Tamy Chen: Okay. Hi, guys. First question is I believe Carl on the last quarter you had suggested that cannabis revenues for this Fiscal Q4 would look a bit similar to Fiscal Q3. And so I'm just wondering what were the main factors. I mean, obviously, the jump was in the rec market. So I'm just wondering what really drove this sequential increase.
Carl Merton: The changes in the sequential increase was really driven by the team in Leamington. They listened to investors when investors spoke very loudly in April and they made a conscious effort to continue to make improvements operationally.
Irwin Simon: The big thing Tamy is we focused on our grow we focused on our processes. The demand was there for the product. And we were able to do what we were supposed to do is grow to a budget, grow to what the market needs are and be able to ship. And that's where you see it in the numbers.
Tamy Chen : And that kind of ties into my second question is that I just wanted to recap and review. Last quarter there were some operational challenges. It sounded like it was a function of there were supply issues perhaps that because you were trying to devote and build more mothers for Phases IV and V at Aphria One that that may have contributed to the ability to have been able to sell more in fiscal Q3. Is that a fair way to represent what those challenges had been in Q3? And are you now over that hurdle?
Irwin Simon: Yes that was our Q3 challenge and yes we are over that. Listen, we've made lots of changes in personnel. We've made lots of changes in our grow. And we're seeing the results for it. And I have said that Aphria One would be completely full of plants and you heard me talk about the number of plants that are in that facility as of today and all the different houses are full. So there was lots of change and lots of execution that's gone on and I'm very, very proud of what's happened in Aphria One and the growth of our plants.
Tamy Chen: Got it. Okay. And my last question still on this point is that, when I'm thinking about Aphria Diamond and you touched on it a bit in terms of how it impacts your cost, but just the way I think about when Aphria Diamond is licensed, it is a sizable facility. And so the supply challenges that you experienced last quarter having to have enough mother plants etcetera, would that then happen again when the Diamond facility gets licensed and you need to have the appropriate mother plants and all of that ready to start planting in Diamond?
Carl Merton: Tamy we've already made the steps to have additional mothers available for that additional capacity. There's still a ramp-up. You can't go from planting 0 of 1.3 million square feet to being fully planted in 1.3 million square feet. There will be a ramp-up period, but we have prepared for that in advance.
Tamy Chen: Okay. Thank you.
Operator: Your next question comes from Brett Hundley with Seaport Global.
Luke Perda: This is Luke Perda on for Brett Hundley. Looking first through the CAD 1 billion revenue target by the end of Calendar 2020, what's required from the Canadian retail space as far as store rollout is concerned? As you model this forward sales expectation your assumptions on production and pricing may well be grounded, but what do you make of the potential for national retail store network to come up short particularly in high-population areas like Ontario and Quebec?
Irwin Simon: So I think the big thing this year is the continuously opening of more and more stores more and more retail outlets across the country. And we're seeing that on a regular basis. And I think as each of the provinces and the liquor control boards get comfortable with their supply, they're going to be able to -- they're doing that. So the other thing is as we get out there and invest in our brands and build our brands and we see supply moving over from the illicit market into the rec market that's where the opportunities are. And I think one of the big problems has been we've talked about lack of supply, lack of supply, lack of supply. And as we get out there and talk about we're able to supply and once we have Aphria Diamond up and going we'll be able to sell 255,000 kilos a year we're going to have plenty of supply out there. And the big thing is we built our brands to drive the consumer away from the illicit market to be out there buying at the stores and buying brands that they're familiar with.
Luke Perda: Got it. That’s it for me, thanks.
Irwin Simon: Thank you.
Operator: The next question comes from Noel Atkinson with Clarus Securities.
Noel Atkinson: Hi, thanks for taking my call and congrats on a really solid quarter. First off on the extraction side, can you talk about what you have for extraction capacity at Aphria One today like in terms of kilos and whether you have any outsourced agreements in place to support that?
Carl Merton: We have no outsourced agreements. We believe we have more than sufficient capacity internally to process all of our extraction needs for the immediate future. Currently we have over 45000 kg of capacity and are building towards 125,000 in the short term.
Noel Atkinson: And that's just at Aphria One.
Carl Merton: That's just at Aphria One. And then the capability that the Extraction Centre of Excellence once licensed will grow it even further.
Noel Atkinson: Okay. And then just following on that can you talk a little bit about what preparations beyond the PAX agreement -- what preparations you've been making for the edibles the vapes the topicals as they're coming out? And when do you expect to have first shipments of these products into the adult-use market? Lot of questions. And are you having supply negotiations already with any of the provincial agencies?
Irwin Simon: So number one is, it's built into our plan it will be in the back half of our plan is when we expect to have these products and ship them into the marketplace. Absolutely we are having supply and distribution discussions with different control boards. And we are absolutely out there today working on R&D, working on product developing and working on partnerships on vapes for sure, but drinks edibles et cetera. So we are well into it and we'll be ready to be shipping products when the next evolution of products in the back half of 2020.
Noel Atkinson: Okay. Great. And Carl I wondered if you could talk about the CapEx outlook for Fiscal 2020?
Carl Merton: So there's a – there’s some disclosure in the MD&A in the commitment note that is CAD 45 million. And those are commitments. And then we're looking at about another CAD 35 million in Germany to complete the build in Germany. And those are the plans that we have announced.
Irwin Simon: And listen we have capital. As we look -- and we've spent good capital on our facilities here in Leamington. And as we look to expand Broken Coast, we look to expand Latin America and Germany. As we look for what's our return on invested capital. And what is organic growth and what is EBITDA accretion. And we're not looking to build big shiny boxes, that are not going to get us good growth, dilutive earnings and where is the size of these markets. As you heard me say before, Latin America is 650 million people. Germany is a big market for medical and can supply other parts of Europe. So, we're going to spend capital, where there's the right return on invested capital, where there's a good growth market, where we think the medical market has the support from the docs there. And we do have the balance sheet to be able to go out there and do it.
Noel Atkinson: Okay, great. And then finally, just on the cash cost side, what do you think your cash cost was in Q4, if you back out all sort of that incremental overhead of Part IV and V and, the CAD 0.20, you mentioned, like, were you approaching CAD 1, a gram or below?
Carl Merton: We reported -- the number we reported already pulls out the CAD 0.20 a gram.
Noel Atkinson: Okay.
Carl Merton: We reported CAD 1.35.
Noel Atkinson: And that's after -- that excludes the CAD 0.20 of the …
Irwin Simon: That excludes the CAD 0.20, yes.
Noel Atkinson: Okay. Are you still targeting…
Carl Merton: It continues to trend down. And we believe we'll be able to get it to the CAD 1.
Noel Atkinson: Okay. So you're still targeting CAD 1 one per gram.
Irwin Simon: Yes.
Carl Merton: Yes. The facility needs to be full. The facility needs to run for a couple of quarters, for us to be able to achieve all of the operational efficiencies.
Noel Atkinson: Okay, that's it for me. Thanks very much.
Operator: Your next question comes from Jesse Pytlak with Cormark.
Jesse Pytlak: Hey, guys. Just to start in thinking about the sequential growth on the cannabis side particularly on the adult-use channel. Can you quantify or otherwise maybe speak to just what sort of impact the opening of the Ontario storefront retail channel had on that growth?
Carl Merton: Well, Jesse, I think the provinces that have both data for online stores and for brick-and-mortar. It's very clear that brick-and-mortar is 95% of the sales revenue in those provinces. People for whatever reason do not want to buy cannabis online. And so the growth in Ontario was obviously stunted during the period of time when you could only buy products online. Now that they're starting to build out stores, we see tremendous growth opportunities in Ontario. They opened 25 stores. They've got another 50 more. They're going to keep announcing more stores.
Irwin Simon: But the 20, in this quarter, I mean, the 25 stores that opened. They've opened pro rata and that's not what drove the growth in our rec cannabis this quarter, also 25 stores that opened in Ontario.
Jesse Pytlak: So, you're saying it, it wasn't the opening of the 25 stores that drove all the growth?
Carl Merton: It was across all products.
Irwin Simon: It was across -- Aphria products are sold today, in every province in Canada. And it was driven by growth in every province in Canada today.
Jesse Pytlak: Okay. I guess I was just trying to get a sense of how impactful the Ontario store rollout was to the total growth.
Irwin Simon: I don't have a number for you as a percentage. But it was absolutely a part of it. But it was not the major part of it at all.
Jesse Pytlak: Okay. And then, if memory serves correct. I think during the summer period last year, you guys experienced some labor staffing issues during the summer period. That led to some operational challenges. Obviously with Phase IV and V online and the level of automation there labor is going to be not as big of a component, but just wondering if you're having any type of seasonal impacts on the labor side this year.
Irwin Simon: We are not having any seasonal labor issues at all this year.
Jesse Pytlak: Okay. That’s all for me. Thank you.
Operator: Your next question comes from Matt Bottomley with Canaccord Genuity.
Matt Bottomley: Hey guys. Great quarter, thanks for taking all these questions. Carl, just wanted to clarify the commentary on exiting 2020 with a potential for CAD 1 billion in Canadian cannabis sales. Is that a run rate you expect to achieve by Q4? Or is that just the capacity you plan on having built out, that could potentially service that much revenue?
Carl Merton: So it's the capacity, that's available, on an annualized basis, in December of 2020 times our current selling price.
Matt Bottomley: And you're agnostic to where that's sold? Could some of that eventually be exported? Or would it just be the Canadian market?
Carl Merton: Yeah. No, it could -- we're working towards securing EU, GMP, so that we have export capabilities. We're agnostic to where it flows.
Matt Bottomley: Okay. The next question just goes to the 2020 guidance you put out there. Just a question on how CC Pharma will trend. I think you said here, it's about half or slightly more than half of your let's call the high end CAD 700 million in revenue. That would be sort of CAD 350 million that would be CC Pharma but that's lower than its current run rate based on where we're at today. And given that you're planning on potentially launching CBD in Germany, I'm just wondering what that dynamic is that goes into your estimates there.
Carl Merton: So, first off we only record through the distribution portion of the business the exact -- sorry the legacy business that was CC Pharma. All cannabis sales that are involved through CC Pharma we push through our cannabis portion of our business in those numbers. Secondarily, I think there's some people who have taken some liberties with the euro exchange rate. And when you kind of look at a normalized euro exchange rate it's not at the $400 million level of sales, it's lower.
Matt Bottomley: Okay. And then on the implied margin. So, again at the high end of each range it's about 13.5% EBITDA margin. Can you give any color on what expenses are below the gross margin line for the distribution business? And I imagine this is part of a larger ramp that you'd anticipate in the subsequent fiscal years towards the higher overall EBITDA margin?
Carl Merton: Yes, so I mean there are SG&A costs at CC Pharma and involved in the distribution business. There are not significant marketing costs associated with it. And it doesn't contribute to the other items we disclose in our financials below SG&A.
Matt Bottomley: Thanks. And last for me I just noticed that wholesale revenues came back in this quarter. I think most of your fiscal 2019 was in this quarter. And I haven't gone through the MD&A yet, but can you give us any color on where you expect wholesale to trend in 2020?
Carl Merton: We have our existing supply agreements that we have announced and we'll take advantage of market opportunities when they're available. It's not a focus of our business but it is a portion of it.
Irwin Simon: And it's a small part of our business. And as I said we'll focus on building our brands and that's where the focus is.
Matt Bottomley: All right. Thanks guys.
Irwin Simon: Thank you.
Operator: We have a question from Graeme Kreindler with VIII Capital.
Graeme Kreindler: Hi, good evening guys and thanks for taking my questions. Just to follow-up on the prior question about CC Pharma, I was just wondering is there any seasonality in terms of how that top line looks throughout the course of the year?
Carl Merton: Seasonality no. But it is going to be driven by the growth of Aphria Diamond and its licensing.
Irwin Simon: No. No. I think CC Pharma there is no seasonality in regards to the selling of drugs into the drugstores. Where sales will increase there is the selling of medical cannabis throughout CC Pharma as we become GMP-approved.
Graeme Kreindler: Okay, understood. And then in terms of the fiscal 2020 outlook is there any disclosure can you discuss what the assumption is in terms of the domestic versus international sales volumes or dollars that's put into that number there?
Carl Merton: We haven't given guidance on that.
Graeme Kreindler: Okay. All right. And then lastly last one for me. With respect to the $1 billion run rate I know that it's been covered pretty well so far in the call, but I just wanted to clarify. You mentioned that's the available capacity times the average selling price. But is that taking your current average selling price? Or is there some sort of consideration in terms of how the average selling price is expected to trend? I guess one factor being the introduction of derivative products but also another factor being just more supply in general across the board in the market.
Carl Merton: It's based on the current selling price. I think there's some confusion on what happens to blended selling rates in the future, right? And everyone recognizes that at some point there will be margin compression on dried flower that margin compression will exist more in value and mainstream products and a lot less on super premium. But you've also got new product formats coming in. And as those new product formats come in they have higher margins associated with them. And so as you get a new blend we believe that that average selling price stays consistent or goes up slightly. We don't see on a blended basis that that number will go down.
Graeme Kreindler: Okay, understood. Thank you very much,
Operator: At this time, I will turn the call over to the presenters for closing remarks.
Irwin Simon: Thank you very much everybody. As you can see -- as I said in my opening remarks, the Aphria of today was not the Aphria of yesterday and the Aphria of today will not be the Aphria of tomorrow. I want to thank our over 1,000 employees around the world that have worked hard over the last six months with myself and the leadership team. We have tremendous brands. We have some tremendous grow facilities out there. We have strategic facilities that are located around the world. And I feel that what we've been able to do in the last six months just stay tuned and fasten your seat belt of what's going to happen in the next year. This industry is going through tremendous growing pains, tremendous change and it's going to be about the grow the production the people behind it and the brands and being fully capitalized and having that balance sheet. And we have all of those at Aphria today. I know there's been some tough times out there challenging times and I want to thank all those investors that have stayed with us and supported us. And look forward to some great growth and great opportunities. Enjoy the rest of your summer and thank you very much for your time today.
Operator: This concludes today's conference call. You may now disconnect.